Operator: Hello, and welcome to the KBC Group Earnings Release Quarter Four 2023. My name is Caroline, and I will be your coordinator for today's event. Please note this call is being recorded and for the duration of the call your lines will be on listen-only mode. However, you'll have an opportunity to ask questions at the end of the call. [Operator Instructions] I will now hand over the call to your host, Kurt De Baenst, Investor Relations Manager, to begin today's conference. Thank you.
Kurt De Baenst: Thank you, operator. A very good morning to all of you from the headquarters of KBC in Brussels, and welcome to the KBC conference call. Today is Thursday, February the 8th of 2024, and we are hosting the conference call on the fourth quarter and full year 2023 results of KBC. As usual, we have our CEO, Johan Thijs, with us as well as Luc Popelier, our Group CFO, and they will both elaborate on the results and add some additional insights. As such, it's my pleasure to give the floor to our CEO, Johan Thijs, who will quickly run you through the presentation.
Johan Thijs: Thank you very much, Kurt. And also from my side, a warm welcome to the announcement of the quarter four results of 2023, which obviously, also means that we are going to disclose the full year results. Now let me start with the highlights of the quarter four of 2023. Well, actually, we have posted €677 million, a very good result in circumstances, which were not always the easiest one. The reason why I call this result a very good result is because we also in this €677 million took into account an impairment on goodwill of the building savings society in Czech Republic of €109 million and we also took impairments voluntarily on software to the tune of roughly €56 million. If we would exclude those, then the profit would not be €677 million, but €812 million. And then obviously, that sounds completely different. Now what is also very good news is that we once again have confirmed that KBC is more than a net interest income bank. We have excellent results posted with record high sales on asset management and record results posted on the insurance side where we had strong growth in sales in the fourth quarter on both non-life and life insurance business. As a matter of fact, we also posted a record result on our combined ratio of 87% despite the fact that we put in extra buffers for inflation, which is linked to claims, and that we also put in an extra buffer for what is known in Belgium as a state fund for uninsured risk. The sum of the two combined is roughly €45 million. Now talking about net interest income, well, also in this quarter, we have posted a better than guided results. And this is definitely something, which is also important for the quarters to come. We kept our costs under control and we were also able to further increase all the other lines in our P&L. So in that perspective, if I look at the full year results, then we have beaten our own net interest income guidance. So yes, indeed, we have been a bit too conservative. We ultimately end at €5.5 billion, whereas the guidance was €5.4 billion. So that is an over delivery on this guidance. We are spot on with our cost guidance. And we have also beaten our net income guidance, which we gave for the full year. So that is all good news. In terms of our liquidity ratio is also very solid and also our capital position is better than what was assumed. So in this perspective, this is clearly indeed also a further underpinning of the excellent results of this quarter. The consequence of all of that is that our return on equity is north of 15%, cost income ratio is 43% if you exclude the bank taxes and our credit cost ratio, which is a token of quality of our underwriting book stands at 0 basis points, which is indeed also much better than what we have guided for. Consequences of all these numbers are that we are proposing a gross dividend of €4.15 per share, which is topping up the interim dividend with €3 per share. And that is something which is in line with our capital deployment plan, which you can see on the next page, where it is expressed, in line with also that capital deployment plan for 2023, we will execute it as you are used of us. That means that we will distribute the surplus capital above the fully loaded ratio of 15%. And that will be decided by our Board, as always, at that discretion in the first half of this year and then the execution of this decision will then be, as always, in the traditional form, either in cash, either in share buybacks. Let me talk to you to – in more detail, and that is on the next page where you can see what is driving, amongst others, our commercial performance and our efficiency more and more. That is the impact of Kate. I already said on previous occasions that it is growing much faster than what we have hoped for. As a matter of fact, in the meanwhile, we have 4.2 million of our customers actively using Kate and that has a clear positive effect on the sales side, but definitely also on the cost side, so on our efficiency. As a matter of fact, we have 44 million push messages to our customers in the meanwhile and they are picked up quite massively with our customers, also the NPS of those customers referring to Kate is very good. And as a matter of fact, when we take a couple of conservative stances, then we can clearly see that Kate is doing roughly fully independent without anybody interfering roughly, let me round the number, 6,000 sales extra per month and that is similar to a productivity gain as well on the cost side where we also clearly can see that Kate starts to replace FTEs, which we can then use for other things. The split up between the bank and the insurance company in terms of results is like usual. It's a bit better now for the insurance side, 16% on the income is insurance, 84%, is on the banking side. And also in that perspective, quite important, KBC once again confirms its position as one of the frontrunners on the sustainability domain. Building business in a sustainable manner is clearly what we do. And that has been then warranted by also the outside world in terms of rating agencies. We are very happy to see that Sustainalytics consider KBC as top three globally amongst the diversified banks. But also what is very important to us is that CDP has confirmed our A rating. We are pretty pleased with that giving also the pressure which we see from supervisors and regulators. On the next page, you can see the building blocks. And I just want to stress one thing on this building blocks' slide that is, if you look at the income side, it clearly shows how diversified KBC is. Net interest income is now roughly 50% of our total income, whereas asset management and insurance is actually the remaining part. So it is 50.8% versus 49.2%. So it's quite diversified. So clearly, we are more than a net insurance bank. In terms of the one-offs, this quarter is characterized, I already mentioned that by a one-off impairment on the goodwill of our building savings society in Czech Republic is €109 million. The other one which I want to mention, I will come back to that later on, that is on the net other income side where we have a one-off of €18 million on a realized gain on sale of assets. Let me go now to the more important P&L lines. First of all, I'll start with the net interest income. Well, if you look at the net interest income on the banking side, there is a difference of €25 million on the quarter. Actually, the net interest income overall decreased by 2%, but there is a big but. And the big but is the difference of €25 million is entirely explained by the impact, which we guided for on the previous quarter on the impact of the State Note. The State Note impact, the difference quarter three, quarter four was €29 million. So it explains more than what you can see on this graph.  On top of that, the negative impact of the minimum reserve requirement was €24 million, which means that our transformation result has outperformed that impact in a significant manner. This is a translation of the way KBC has hedged its replicating portfolio, so it hedged its deposits. And as you know, we lengthened our tenure and we started to reap the benefits from that. Moreover, this will be a continuation to see in the quarters to come. Our net interest income will further increase on the transformation side going forward. In terms of also the lending book, we have seen good outcome this quarter. The lending income has increased and that means this is on the back of two things. The volume increased with 3%. We have seen an extremely strong third – sorry, fourth quarter both on the side of commercial lending and also on the side of the mortgage book. This is not the case in every country, but the commercial side, you can generalize on the mortgage side. It depends a little bit on the country. But nevertheless, on both books, we saw a strong increase of the lending business, which is a good uptake, which is also confirmed in the first weeks of this year. In terms of the margin, margin is commercially under pressure. It is stabilizing in certain other countries. Definitely on the mortgage side, it is increasing again. But all in all, the commercial margin is still not what it was, let me say, something a year ago, but it is at least bottoming out and increasing slightly, creeping up, as they say, in general. In terms of the total impact, five basis points less net interest margin, this is fully due to the impact of the state note and the impact of the minimum reserve requirements. Without them, it would have been an increase in the margin. In terms of what about the deposit side, and actually, when we speak about the deposit side, we mean core customer money. Well, that is good news to mention here as well. We saw €2.2 billion of net inflows of core customer money. As a matter of fact, we saw a positive inflow of €1.3 billion on the, let's call it, traditional deposit side and we saw another €0.9 billion increase on our asset management side, so on the mutual fund business. Let me talk about the real deposits. Well, the positive inflow of €1.3 billion is also translated in a further shift from current accounts and saving accounts towards term deposits. For a good understanding, we always took in our guidance a very conservative stance in this perspective. And what you see in this quarter was a bit better than that conservatism, which was included in the terms of shift on the net interest income side. Obviously, if you look at the year, we have an inflow of €5.9 billion, which is partially or mostly offset by the outflow, which was linked to the state note, €5.7 billion. But all in all, if you exclude the state note, yes indeed, then we do have an inflow of traditional deposit and we have a super strong inflow of the €4.8 billion in mutual funds. So it clearly shows that the diversification model, the bank insurance, asset management machine in KBC is performing well in 2023. So, on the deposit side, also good news to mention. What about then the fee and commission business? Well, here, we do post a record result, €600 million on the asset management and all other fee-related business side is indeed a record high. This is 2% up on the quarter, 9% up the year. The good news is that it increases on all different underlying parameters. So asset management business was up with roughly €9 million. The entry fees were up with roughly €5 million. Our securities-related fee was actually up because you have to be aware that in the previous quarter we had a one-off which was related to the fees paid for the state note, €11 million at that time. So if you take that out, also there, we saw an increase. As a matter of fact, payment services and so on and so forth, all of them increased, including the credit files which were linked to – the fees which were linked to the credit files. In terms of the assets under management, we now clearly stand at a very high level, €244 million, which is 8% up of the year. If you split that up in net inflows and market-driven performance, then the latter is 6%, the former is 2%. Let me highlight that inflow. As I said, we have €4.8 million net sales – sorry, €4.8 billion, million would be a disappointment, we have €4.8 billion of net inflows in this quarter. That is again in the fourth quarter, net inflow was €0.9 billion, which is indeed a very strong result. If you compare that with 2022, which was also a record year, then we have beaten that result with roughly on a year basis, €1.9 billion, and that is really good. In terms of composing elements, you all know that we always refer to the regular investment plans, which is a stable contributor to this net inflow, while that was at a level of €1.5 billion for the full year, and that is actually a comparison, which you could say is equal per quarter. So the €1.5 billion is equally spread. So we continue to see that growing. And that's also a solid base for our net fee and commission income going forward for our net fee commission income in the future. Let me talk about the insurance business. Well, here again, the diversification machine has turned on all cylinders. We saw a very strong increase of the sales quarter-on-quarter of – sorry, year-on-year of the non-life insurance business, 14% up. This is indeed a very strong performance. This performance is not only happening in Central Europe, but also in Belgium. So it was really, really a good year, but also a good quarter. In the non-life insurance business, quality of underwriting is 87%. And I repeat what I said, we have taken extra provisions for the [indiscernible], so it is the government-owned fund for uninsured risks. So we put there in roughly €25 million extra as a buffer and we also put in an extra buffer for future inflation on claims of roughly €20 million. So in that perspective, the 87% combined ratio even excels more. In terms of where we booked those results, actually 87% is more or less the standard within KBC Group. Every country has a cost-income ratio – sorry, not cost-income, combined ratio, which is clearly better than the target. There is one exception that is Slovakia, but it's a very tiny portfolio where we have a little bit higher than what we had anticipated for, but all the rest, 87% on average. In terms of the life sales, also a very strong quarter, it’s driven by commercial actions, as I indicated also on the announcement of the third quarter results. Well, we have now an increase of 56% on the quarter. And if you compare that with the absolute record sales in 2022, that would be more or less in line, slightly down, but also that is, I mean, not too important because it is indeed, once again, a confirmation that if we do commercial actions, we do see immediately a very strong impact on our sales, both on the interest guaranteed products as on, on the unit-linked product. The split, by the way, between the two is 51% on the unit-linked and then 43% on the interest guaranteed products. The balance 6% is for the hybrid products, which is a mixture of the two. Let me go to financial instruments and fair value. I mean, you know the volatility of those instruments or the financial instruments' fair value. What is important here to mention is a very strong performance on the dealing room results, which had a €31 million increase on the income side and then also higher results on the investments, which are linked to the unit-linked products, but you know how that works under IFRS 17. That is offset by the IFIE as we call it, so the investments, financial expenses – income and expenses, which are booked on the other side of the balance sheet. Now all in all, we have seen a zero impact quarter-on-quarter on the financial instruments on fair value. Regarding the net other income, we do have a €60 million income, which is €16 million higher than last quarter, but that is mainly driven through an impairment of €18 million on one or the other sale of assets. This is excluding number, actually a perfect normal quarter. So let's not waste too much time here and let's continue with the cost side. Well, cost side, good news. First of all, perfectly in line for the full year with the guidance which we gave. And as a matter of fact, we are now with a cost-income ratio of 43%. If you exclude the bank taxes, to be precise, 42.6% is the actual number. Cost increases were kept under control, despite the fact that we have in the fourth quarter traditional higher marketing expenses and further incoming invoices on the IT side. We were able to keep our FTEs in control. As a matter of fact, we were able to reduce further our FTEs and to compensate big time for the inflation, which is pushing up the salaries of our staff, the wages of our staff. There's a certainty in life that is that bank taxes continue to rise. They now stand at €687 million, which you can also see in a split up on the table on the very same page, but also on the next page where you can see the evolution of the bank and insurance taxes for the full year. 13.4% of operational costs are bank and insurance taxes, and that's quite a lot. Things are split up per country. You can pick out the country which you prefer. But also in Hungary and in Belgium, those are the two countries where we have the highest taxes to be paid. What about the quality of the lending book, which you can see on the next page? It is actually very good. Let me start with the most whopping number. The credit cost ratio stands at 0% if you include the release of provisions which we have on the geographical emerging risk buffer. 0% is indeed a whopping number and is substantially lower than our guidance. How is it built-up? Well, on the traditional lending book, we have seen €30 million of impairments, which are most of the time linked to a couple of bigger files, corporate files in Belgium and in Hungary. And all the rest of the portfolio has hardly any impairment. So that is indeed a reflection of the underwriting quality. What we do see as well that is because of the improvement of the macroeconomic parameters, we had releases on the buffer for geographic and emerging risks, €35 million. So that the sum combined of those two lines give us a release of provisions of €5 million. In terms of the buffer, remind you, that we still have €256 million of buffers for potential impact linked to geographical and emerging risks. That is, amongst others, inflation, which we know is now coming down significantly. So it's really becoming a buffer in that perspective. You could say, it is more or less, yes, the impairment of a full year, which has still buffered a bit lower than what it is for the full year. In terms of the other impairments, I already highlighted the fact that we took a hit on our goodwill or we impaired our goodwill of €109 million for the building savings society in Czech Republic. But next to that, we also took impairments voluntarily on software, which is bringing the total to €50 million, roughly €55 million and €10 million on the interest rate cap in Hungary, completes the €66 million total, which you see on this page. In terms of credit cost ratio, including the – or excluding the buffer releases, we stand at 7 basis points, which is also half of our guidance. Then I think we are then at, let me see, yes, indeed, the ratios relating to the capital. Well, also on this side, we do have good news. First of all, we have the traditional build-up of the denominator – sorry, yes, of denominator, that is the results and the accrual of dividends on the insurance side. And then on the denominator side, that is good news. We guided previously that the releases of our risk-weighted assets linked to, amongst others, decisions by the ECB would be roughly around €2 billion. While the releases are higher, they are now totaling €3.2 billion, and that is indeed a significant improvement compared to the guidance which we had given. If you look at then the consequence of both combined, we stand at a capital ratio CET1 of 15.2% at the end of last year. Expressed on page, what is that 17, the buffer on the CET1 side now stands at 4.3%, totaling roughly €5 billion. If you translate that to other buffers, the MDA buffer, then obviously, because KBC has not issued any AT1 and Tier 2 to compensate for the CET1. The buffer stands a little bit lower at €4 billion, 3.6%. By the way, the OCR ratio for KBC stands at 10.9%. In terms of the leverage ratio and then also the liquidity ratios, very solid positions. We have a leverage ratio of 5% – 5.7%, which is an improved compared to last year with 40 basis points. Ratios on the liquidity side stands solidly above the threshold. And we have a 159% LCR ratio, which shows again that KBC is in that perspective very liquid institution. And the solvency ratio of the insurance company has also further improved 206%, substantially higher than the regulatory minimum. So what are we going to face going forward? Well, economic growth, which was quite under pressure in the fourth quarter of this year, will tend to improve in the period to come. We do expect that as of this year, beginning of this year, certainly in the second part of this year, economic growth is going to compared to the last quarter of last year to go better, so to improve. We do expect that on the European level for the full year, a growth of 0.5%. But what is far more important for us, that is in the countries where we are present, Belgium 0.9% growth expectation. And then in Central Europe, Czech Republic and all the other countries, we expect this to be roughly a bit more than double. It depends a little bit on the country – on the different countries, but it is indeed significantly better than in Western Europe. In terms of inflation, we also expect it to be hovering around 2%. It depends also a little bit on the country. But it's clearly that inflation is now better under control. Now as usual, on the back of the full year results, we always bring a guidance for the year to come and then also a longer term guidance, let me start with the former. What about the financial guidance 2024? We changed our approach given the fact and given the experience of 2023 where we gave kind of a number and then had to constantly update this given the unforeseen circumstances, government stepping in, requesting also part of the profits that banks are making, change in the policy of the ECB, for instance, on the MRR and so on and so forth. We now changed the approach, and actually, we gave guidance which is clearly putting a floor under the income side and clearly putting a ceiling on everything, which is considered to be expenses, costs, combined ratios and so on and so forth – impairments and so on and so forth. So given that floor ceiling approach, we now give for the net interest income, a €5.3 billion, €5.5 billion range. And we consider our loan growth to be 3% or north of this. In terms of our insurance revenues, we say at least, clearly indicating this is a floor, 6%. And for the operating expenses, we say, it's below 1.7%. So it's also clearly putting a ceiling on the cost growth. Cost income ratio, as a consequence, will then be below 45% and the combined ratio will clearly be below 91%. In terms of the credit cost ratio, we also guide here that it will be significantly below, the through the cycle cost range of 25 to 30 basis points. Now let me highlight what is included in that guidance, you can see this clearly on the next page. Within the range, €5.3 billion, €5.5 billion, we built in some very strict conservative numbers. First of all, we used the market forward rates of mid-January. Now, if you want to know which is precise, the period, you take the worst situation, which you have seen, mid-January, and that’s the number which we used. We took into account a further increase of the MRR to 2% as of the April 1, 2024, so doubling it. We have taken into account the conservatives assumption that there is no inflow of a deposit after the maturity of the State Note in Belgium in September of 2024. You know that we had an outflow of 5.7. So we assume in the calculation here there is no inflow. I repeat what I said on the previous occasion. Commercially, we have completely different targets than no inflow, I can assure you. And then last but not least, we have also considered further continuation of the shifts from current accounts and saving accounts to term deposits in a very conservative manner. Now, what else? There is a sensitivity, which we add that if there is a deviation from those market forward rates of 25 bps, then that will generate an impact on a net interest income of roughly €70 million. And you can consider this to be a roughly 50/50 split up on the short-term impact and on the long-term impact. I would like to repeat that that is not necessarily the case that when you have a cut on your interest rates, that the long-term interest rates move similar. So therefore, we gave this guidance with a rough split up between short-term and long-term. And if – and in the event that the Belgian State would issue a new State Note with very favorable facilities, that i.e. the withholding tax reduction and the one year tenant, there was – and definitely the withholding tax is the key one, then this would lead for us to an impact on our net interest income of €25 million for every billion euro of subscription. As a matter of fact, the government is going to take a decision today on the State Note and the form of that State Note. This guidance also applies obviously to the longer-term, so to 2026. And here also we approach the same way. So we put in the floor for the income side and we put in a ceiling for the expenses side. So the – everything which is related to expenses, outgoing monies payments included. CAGR for 2023-2026 is at least 1.8%, insurance revenues is at least 6%. Operating expenses is below 1.7% over the full cycle. Cost income, therefore, as a consequence will be worst case below – was – will be below 42%. So the worst case is 42%, combined ratio 91%. And the guidance on the current cost ratio remains the same, that is well below through this cycle. So in this way of guidance, we hope now that we do not have to update again every quarter, the numbers because of unforeseen circumstances. Also, you have noticed that at the end of last year, in December, the European Commission, the European Parliament and the Council came to an agreement regarding the implementation of Basel IV, which is confirmed to be happening as of the January 1, 2025. We have given guidance on the available information back at the quarter three. Well, we have updated that information and it contains indeed good news for KBC that is on the back of this political agreement, by the way, which still needs to be translated into what is then called regulatory technical standards by EBA in the next coming period. That decision, which is the basis for that translation has good news in terms of first of all, the first time application, which we originally guided for €2.5 billion impact, well, that impact drops to zero. So that is indeed a very good news because that was applied as of the January 1, 2025. So that goes to zero. And then the second thing is that obviously, if you look at the floor, the floor which is applicable only in 2033, so what is that within nine years, that that floor is, as consequence of the releases of the risk weighted assets is now guided higher than before. It now stands at €6 billion. But that €6 billion is mainly driven by elements which are related to non-rated corporates, in essence SMEs. And obviously this assumption is that we are working on a static balance sheet and that we do not do anything between now and 2033 in respect of the rating of those SMEs. So this is highly unlikely. Let me summarize it differently. Between quarter three and today, the impact on the risk weighted assets, including Basel IV, including the simplification, is roughly €4 billion better than what we have guided for in quarter three of this year. On the next page, you have the summary as a wrap up of all those parameters, and then all the numbers on the business units are there. But I suggest that we skip that part of the presentation. After the business units, we have a presentation of full year, but I think all of you are more interested not to see what the full year is, because that’s simple. This is some of the previous quarters. I think you guys are more into questions, so I will leave the floor open. But of course, Luc and myself will be very happy to answer. Sorry, I forgot one thing. Luc reminded me. Yes, indeed, we do have for non-financials new targets as well. And they are on. Let me see the Page 63. They are on Page 63, so the non-financial targets which are linked to our customer. So NPS scores in essence are top two. We are on a straight through processing, which is important for our efficiency and therefore our cost side is increased to 68%. We do increase our target for our bank insurance clients to 83%. We increase our targets for our bank insurance stable clients to 29%. And then also on the digital side, the sales and both banking and insurance side are increased to, respectively, 65% and 35% going forward. These are targets to be achieved by 2026. By the way, we mostly achieved the targets on 2023, which were forecasted. We have a slight miss on the bank insurance clients, but it’s only due to the fact that we have incorporated several new customer portfolios through acquisitions. And therefore, we have a small miss on that one. But otherwise we would have achieved all those targets. I now hand over the floor back to Kurt, who will guide you through your questions. Thank you very much.
Kurt De Baenst: Thank you, Johan. I open the floor now for questions. Please restrict the number of questions to two to allow for a maximum number of people to raise questions. Thank you.
Operator: Thank you. [Operator Instructions] We will take the first question from line Giulia Aurora Miotto from Morgan Stanley. The line is open now. Please go ahead.
Giulia Aurora Miotto: Yes. Hi, good morning. So, two questions from me. The first one on NII, please. On your Slide 22, you talk about the shift between current to and savings to term and conservative assumptions. I’m looking at ECB data, monthly progression. It seems like that’s moderating. It was quite intense in Q3 especially and then that’s moderating. What are you seeing year-to-date? Because I was thinking that’s stabilizing. So it should be better than what you have seen in Q4. Is that correct? And then secondly on costs, the 1.7 on top of being a ceiling seems very low to me, given inflation, especially in the geographies where you operate. So can you tell us about a bit more about what gives you so much confidence on that number being a ceiling? Thanks.
Johan Thijs: Thank you, Julia, for your questions. Let me take the first one on net interest income. So indeed, your analysis is correct. What we have seen in the quarter four is that a shifts continue, but at the pace of those shifts between current account, saving accounts at group level is indeed no longer at the same pace as what we have seen in quarter two and in quarter three, for sure. Now quarter three, be aware that has always also been negatively impacted because of the outflow of the state node, which, as you know, was quite significant with €5.7 billion. So in that perspective, even when you make the abstraction of the state note the slowdown of the shifts, current accounts, saving accounts are indeed happening as we speak. By the way, Czech Republic, which is indeed a bit further down the cycle in terms of interest rate hikes and interest rate cuts. Well, there we can – this is kind of a guide for what happens in the Eurozone. There we see clearly the same thing, and only with that difference that it anticipated the Eurozone situation with roughly one or two quarters. So in our guidance for good understanding, we took the full pace of 2023 as a guidance for the shifts in the future. So if it is continued to slow down further, then indeed that it creates an extra tab of conservatism as we speak. Now, in general, if you make an assumption on the guidance, we have 1.360 in terms of net interest income for the fourth quarter. If you multiply that by four, you end up at 5.44, which is in the middle of our guidance. Multiplying by four means you have the full impact of the state note, multiplied by four, which is an exaggeration, because it matures in September and therefore four months of release. Second thing is you multiply by four, the MRR, which is the given, and then obviously you multiply by four, the increase of the pass through and the increase of the – or the further increase of the shift. So indeed, in that perspective is a bit on the conservative side.
Luc Popelier: On the cost side, you are all right that we still have some overhang effects of the high inflationary environment we had last year, but we do see that inflation is coming down rapidly. Not so much in Belgium, because their inflation will probably go a little bit up compared to last year, but it was very low in Belgium, as you know, in 2023, but certainly in central and eastern Europe, where we had double-digit inflation rates, which we believe will come down quite considerably in all these countries. And that is certainly a help to relieve the pressure on our cost inflation. But two other elements are very important. First of all, we will see further benefits of Raiffeisen integration in Bulgaria. As you know, we acquired it in 2022. We are working now on the integration and also the Euro adoption and those costs have been heavily weighting on Bulgaria, and therefore, we have not been able to really reap the benefits of the synergies. There are some, but the real synergies will come through the next years and particularly also in 2024. So that's an important element. Secondly, we have Ireland, where in 2023 we still had Ireland for about €100 million in total of costs. That will be virtually gone since that we are close to liquidating the [indiscernible] bank completely this year. So there's a big delta as well. And then third reason is the one we've always flagged, that is, we still continue to see productivity gains of about 1% to perhaps even 1.5% per year. And these are three combined factors will also offset the reduced, but still there inflationary pressures.
Giulia Aurora Miotto: Thanks.
Operator: Thank you. We will take the next question from line Tarik El Mejjad from Bank of America. The line is open now. Please go ahead.
Tarik El Mejjad: Hi, good morning. A couple of questions, please. First, I will come back on NII and want to understand better your ranch. I mean, I understand you want to stop or not keep updating every quarter, which is fair, but I'm questioning actually the ceiling of it. I mean, there are some elements there that you admittedly said in the call, they are very unlikely to materialize in instance, no deposit inflow from the state care, state notes and the MRR to into 2% now is getting consensus that this is something that's very unlikely to happen and the pass through rate as well. So why would you take such conservative approach the ceiling. And clearly you don't want to change that again, that ceiling as well during the year. So I guess the next update will be next year, even if you have a higher run rate in Q1 and so on. So that's the first question. And then still on NII in 2026, can you explain the CAGR you gave us? Because I think volume growth will pick up a bit across your divisions and I wanted to understand why you've been conservative in 2026 as well. And secondly, on capital, so the capital return above 15% CET1, I thought it was within your policy. So why it needs the board to approve that. And then you delayed the announcement later on in the year and changing your share buyback limit to July from, I think before it was mid-August. Is that just a timing where it would be approved in around Q1 and start to be implemented post July. Thank you.
Luc Popelier: Okay, Tarik, I will take the first one on NII. Yes, I know you can challenge that upper ceiling indeed. Of course we can take more aggressive assumptions. But for example, if you say no deposit inflow, well, if we do have deposit inflow back from the state guarantee, we think it's going to end up in term deposits and not on saving current accounts. So the margin on that will be much lower, but it will be a bit of an uptick, but only for three months because the state note expires in September only. So we have only a very limited number of months for which we benefit from the margin on those term deposits. And as I said, these are of course much lower than margins on the current and savings accounts from which they came, on the MRR, you're right. If the MRR is not going to 2%, that's about €48 million difference. That could also still be fitting within the ceiling. But obviously, if you take all other elements like pass through rates, which would be coming down, and if you add all the positive elements, then probably you'll break through to the ceiling. That is correct. But again, on pass through rates, there are two things. There is the active pass through rate. That means that we – if rates would stay high, then we would probably have to also increase the pass through rate. That's active pass through rate. But that, of course, depends on the rate scenario. If rates come down, as we now project, then there will be a passive pass through rate increase, because we will not go as quickly reducing the pass through on savings accounts as the rates come down, because that will also be determined by competition. So we'll see what happens there. If we can do it very quickly, obviously, then that adds to a higher probability of breaking through the ceiling on the. Loan volumes you mentioned there, yes, we are foreseeing a loan volume growth of next year, about 3%. We didn't give any guidance for the years thereafter, but I agree with you that we don't foresee a reduction for the outer years. However, I should flag that consensus is a 1.6% CAGR, whereas we are at 1.8%. So that's already a little bit better than consensus is thinking, sorry, worst case, this is a worst case, 1.8%.  So it’s a bit better than consensus and it’s a floor. We should also see that loan volume – new production is relatively low. So the higher margins that we see on the new loan production will only feed through slowly. And contrary to that, we also see given that MREL requirements have gone up that we also have potentially higher financing costs for wholesale financing costs.
Johan Thijs: Hi Tarik, I’m going to take your second question regarding the capital and the capital deployment plan. As a matter of fact, we have not changed anything whatsoever. So it’s a copy of what you have seen in the last years, because on the capital deployment plan, and then obviously on the capital deployment execution, nothing has changed. Regarding by the way, the plan, we will update you, as always, on the back of the first quarter results, that is what is it somewhere in May on the new capital deployment plan for year 2024. But for 2023, nothing has changed. So if I may correct a little bit what you said in your question, also the decision on surplus capital, last year, we did the exact same thing. The Board took a decision on the surplus capital in the course of the first half of the year. We are going to do now exactly the same thing. You know you can calculate yourself how much the surplus capital is, roughly €280 million. Also, the Board is going to take their decision. And the question is, how are we going to distribute it? Well, that’s exactly the same options as last year that is in terms of options, you can distribute in cash or you can distribute it in terms of a share buyback. You made reference to the share buyback, and to avoid any kind of misunderstanding, we have changed nothing at all on the execution of the share buyback. As a matter of fact, it is perfectly in line with what we have seen and it will normally end as it was foreseen. So, I don’t know where you got that we postponed it a bit, because it’s just foreseen as it was foreseen. It needs to be executed in a period of 12 months or in the period of a year. And that means that it ends I think indeed in August – end of July. So indeed, at the end of July, it is done. So there is no postponement whatsoever. It is perfectly in line with – and then the execution is particularly in line with what we said on the previous announcements.
Tarik El Mejjad: Okay, perfect. Thank you very much.
Operator: Thank you. We will take the next question from line Raul Sinha from JPMorgan. The line is open now. Please go ahead.
Raul Sinha: Hi good morning, thanks very much for taking my questions. Two, please. The first one on the capital update. If I can ask how important the fact that there is no initial impact anymore of Basel would be to your thinking or will you be focusing on the kind of fully loaded ratio going forward as well? And the reason I ask this is, because consensus is clearly looking for your capital ratio to stay around 15% level even for the full year 2024. And so I just wanted to check your latest thinking around whether or not you think that we should expect a reduction on the CET1 threshold for surplus capital is still on the table and what factors you’ll be looking at? That’s the first question. And then the second one is just a bit of detail on Czech NII outlook. The NII is up 4% quarter-on-quarter. The margin is up 3 basis points despite the lower rates. And you flagged your transformation result there, which seems to be very strong. Loan growth is actually slightly below the group level. What do you see as the outlook from here? And obviously, do you expect any pick-up in loan growth in 2024? Thank you.
Luc Popelier: Thank you, Raul, for your questions. And let me take the first one to start with. The capital update is indeed foreseen with the next announcement, so not today. So if – I’m not really going to preempt on the detail, but your analysis is correct. So first of all, given the Basel IV update and given the updates on the relief, which is indeed higher than what we have guided for, there is more room on our risk-weighted asset side. As a matter of fact, for let’s say, 2024, 2025, there is clearly a better position of roughly, let me run out a number, roughly €4 billion with all the information I have now. So that is indeed much better than what it was a quarter ago. The fully loaded impact, if you take into account indeed everything, static balance sheet and us doing nothing until 2033, then the fully loaded impact is the same as what we said last quarter. Now in terms of us doing nothing, if you know that of the €6 billion which is the floor impact back in 2033, that all of that or most of that is related to the ratings of the non-rated corporates, let’s summarize SMEs. Then, I mean, if we would be sitting on our hands for the next nine years, I think that’s super unlikely. So saying that the fully loaded impact is the same over the whole period is I think a super conservatism and not really realistic. Let me say it differently. I don’t believe the impact is €6 billion at the end of 2033 in that perspective. So what it then will be on threshold and so on and so forth? What is the level of the definition of surplus capital? Well, that discussion is a discussion which we are going to have with our Board. And this is something which I cannot obviously preempt here in this call on the first – on the fourth quarter results 2023. So you have a bit more – you need to have a bit more patients, but indeed, we have lower risk-weighted assets taking into account the new guidance on Basel IV.
Johan Thijs: On the NII in Czech Republic, you’re indeed right that we see an uptick in the margin on the one hand and transformation result is and continues to be strong for the foreseeable future, because also in Czech Public, we still enjoy the benefits of the reinvestment at high yields. Given the longer duration books that we have, we’ve been increasing, as you know, duration of our application portfolio over the last two years and we now reap the benefits of that. The lending also is going to be okay in line with what the overall guidance, I would say. But – and with – although there’s still some pricing – some margin pressures, we do see a chance to improve margins as well in the Czech Republic. What I should also mention is that we have an introduction of the minimum reserve requirement in October of 2023 that will now have a full year effect that needs to be deducted and that will be a dampener of the NII growth that you would expect in Czech Republic. So in summary, we do not believe that NII will come down in 2024, not at all, and there is certainly upside to that.
Raul Sinha: Thank you very much.
Operator: Thank you. [Operator Instructions] We will take the next question from line Benoit Petrarque from Kepler Cheuvreux. The line is open now please go ahead.
Benoit Petrarque: Yes, good morning. Benoit Petrarque from Kepler Cheuvreux. So the first question is on the combined ratio target and also in combination with that the kind of 6% gross written premium growth on insurance. So yes, I think you have very strong targets overall, but the combined ratio below the 91% seems to be very conservative. And yes, I was wondering if you could maybe provide a bit of a better, more granular guidance on the combined ratio? And also, I was wondering where the 6% comes from? Whether that’s a market share gain, this is inflation, this is overstock because it seems to be a pretty high figure in the context of lower indexation on gross written premium. And then on the NII, just on the broader discussion around the passive and active pass-through rates. So maybe talking more about the Belgium market as a whole, not KBC specific, but what do you expect the core deposit rate will do in Belgium in the context of ECB rate cuts? Do you think banks will adjust fast or not? And what is your – again, your expectations in your guidance in terms of speed or tracking speed, let's say on the downside. And then if I can just quiz the short one on the bank tax. So it's 687 [ph] for 2023. What is your guidance for 2024, please? Thank you.
Johan Thijs: Thanks, Benoit, for a series of very interesting questions. Let me start with the first one, and my colleagues will hop in for sure on combined ratio, so – and then on the growth and the insurance side. Well, first of all, let me remind you, the ambition, and I don't know if everybody knows this, but it's quite clear that KBC has in all countries a target of increasing market share on the insurance side. And that is clearly true as – for the last, what is it, 10 years that we want to grow 50% faster than the market on the Life side for sure, and on the Life sides and certain products as well. So we have achieved those targets all these years. And for that reason, we do see now this year a total growth of 12%. The – at least 6% is therefore a reflection of that ambition. The commercial targets which we haven't posted upon the people [ph] are higher, clearly higher than the 6% I just mentioned. Why is this growing market share, as I said. And then, obviously, inflation is not gone. As you know, in certain of our geographical areas, we do have an automatic link between premiums and inflation, obviously also between claims and inflation, but that is reflecting cost income – on the cost of combined ratio. So in that perspective, we do have the two sides of your question, indeed into our targets, and definitely also into the guidance of the 6%. For good understanding, the 6% also applies to Belgium. So in that perspective, the ambition level in Belgium is to grow at least faster than the market plus 50%, which we have achieved for the last 10 years, except one year. Now, in terms of the combined ratio, quality needs remain at the same level. We brought it down from what it was, the target, 92% to 91%. It seems symbolic, but it's more than just a symbol, because let's face it, with the 91% combined ratio. We clearly below that today, I know 87%, and there is no ambition whatsoever to make that 87% become 91%. So it needs to be below the 91%. But if I make reference to our markets where we are active in, that is, we have a combined ratio which is significantly higher than all the markets and all the peers where we are currently are present. And this is for one main reason, that it's a fully automated underwriting process for the last 10 years, and that clearly pays off the difference. For that reason, I perhaps agree with you that this – the target is – the 91% is kind of conservative, but as we said, it's kind of a ceiling. And therefore the ambition, the underlying ambition from our side is much more ambitious than the 91%. Perhaps and look and jump in here as well. What about the pass-through and the active passive part? Obviously, if you start to see the rate cuts coming and the expectation of the market, that it will happen in April, our guess, our estimate is in that perspective a bit later. We do expect the first rate cuts of these to be in June, and then further cuts between June and end of year. So it's quite significant. Of course, as a consequence, what Luc already explained, your passive pass-through will grow, but your normal pass-through does not change nominal. And then also what is for us super important net interest income side. And Luc explained that as well. We have hatched our portfolio with a longer tenor, and therefore we locked in that perspective, the higher returns, and so the cuts don't really have an impact on the short term on our net interest income. On the contrary, we will continue to see for the next quarters, I would even say next years, further increase of that transformation result. What about rates? Well, now, you put myself in a very difficult position. I'm not allowed to make any kind of comments on that because that would be market guidance, commercial guidance, and that would indeed create a cartel situation. So I have to refrain from comments on what we would do with rates. And I also have to refrain from comments what I think the market will do, because that would give us an implicit commercial guidance and that, as you know, is forbidden by law. So I would say, let's observe what's going to happen in the next coming quarters. And in that perspective, I think the past is a good guide for the future. Other taxes, well, yes, well, there are a couple of things. First of all, bank insurance taxes have been on the rise – banks and insurance taxes have been on the rise for the last years. Given the budgetary situation of a lot of governments in the countries where we are present, I think honestly that let me say this follows. I don't hope that we all see in the nearby future any cuts on taxes going forward. Obviously, I would like to see that. But given the budgetary situation of a lot of countries where we are present, I don't think it is realistic. We also know that contributions for the resolution fund will normally come to an end, but in our expectation, we do not see that come to zero. We think it will be replaced with other taxes on the banking on and or insurance side whatever in order to make up for budgetary constraints of the governments of countries where we are present. So I let – I would like to see cuts, but I'm afraid that is not going to happen.
Benoit Petrarque: Okay. So we can assume a roughly stable bank tax in 2024.
Johan Thijs: Let's consider this to be a floor. Have to get, yes…
Benoit Petrarque: Yes. Great. Thank you very much.
Johan Thijs: Because bank taxes grow also with volumes, as you know.
Benoit Petrarque: Yes. Yes. Thank you very much for that.
Operator: Thank you. We will take the next question from the line Sam Moran-Smyth from Barclays. The line is open now. Please go ahead.
Sam Moran-Smyth: Hi there. Thank you. So, two questions from me. So, just firstly on the DPS and the fact that you printed a 15.2% CET1 ratio. So why is it that you didn't use the excess capital of 20 bps to inflate that dividend a little bit higher? Is it a timing thing, or is it possible that you're holding capital for other reasons, like buybacks later in the year or even an acquisition? And then secondly, on Slide 29, where you're mapping out the lending spreads in Belgium, both mortgage and corporate lending are higher Q-on-Q. You've previously spoken about intense competition in that market. So should we think about the increases as a temporary impact from lower funding costs, or do you expect this margin expansion to continue or at least stabilize at higher levels? Thank you.
Johan Thijs: Thank you for your question. And let me take the first one on dividend per share. Well, in terms of the subpart of your question, that is what about acquisitions on support? We continuously monitor the market and see if we can strengthen our position, both on the bank and insurance side in our core countries. That has not changed and we will continue to do so. Regarding the position of our surplus capital, regarding, as a consequence, the dividend per share, I repeat what I said on a previous question, which was quite similar in terms of content. So we just execute our policy. We didn't change anything whatsoever. Therefore, also in terms of surplus capital, in terms of what is going to do with it, it is exactly same position as last year. Board will take a decision, and as a consequence of the decision, the DPS will be influenced. So I suggest as well that you wait until that, until the – ultimately the first half end – the first half year end to see what the consequence is. And then you start with €4.15 dividend per share. You will see how much it will be after the discretionary decision of our Board. By the way, if the world would explode in between now and let me say something the end of the first half of the year, if the war would escalate or we could – the sour, we go into a recession, let me create you an Armageddon scenario, decision on the payout of capital will be completely different, as you can imagine. But we do not expect this scenario. That's let's say different. We do not hope this scenario to come true.
Johan Thijs: Okay. And on the margins in Belgium on Slide 29, yes, we see a slight improvement in the third quarter for mortgage loans, and that is now confirmed even slightly higher in the fourth quarter. We think that it will be possible to at least maintain these margins and probably increase them given that rates have come down and long-term rates have come down and will probably continue to come down a little bit, not too much anymore. There will be some room for some margin expansion. That is least what we hope for because the market is still unlike what some are saying in Belgium, we are in a very competitive market. And the question will be that the reduction in cost of funding, how quickly will that be translating in a reduced rate – external rates for clients? And how much margin can we increase? So it's a fragile thing at the moment, but we do hope that there should be a margin expansion possible. On the SME and corporate loans, you see an uptick there in the fourth quarter, but that also has to do with the mix. And you know in corporate loans, sometimes you have big tickets and we have some big tickets in the fourth quarter, large acquisition files and other files, which had rich margins and that influences of course the quarter effect. So this is not something that will keep on growing to the same extent. But overall, I would argue that the margins on corporate and SMEs, although we're also here in a competitive market, should be more or less stable if we look a bit longer in history, so the last year or so, and that would be a good point or perhaps a little bit of expansion, but not too much. So please do not extrapolate the last quarter increase to the next quarters.
Sam Moran-Smyth: Thank you.
Operator: Thank you. We will take the next question from line Guillaume Tiberghien from BNP Exane. The line is open now. Please go ahead.
Guillaume Tiberghien: Yes. Good morning. Thank you very much for taking the question. Number one is on the cost. A bit of clarification on what you said about the bank taxes, because your resolution fund contribution is going to go down about, I don't know, maybe €100 million or €130 million in 2024 versus 2023. So if you say you expect overall taxes to be up, can you actually quantify the impact for the various geographies? The other one is on the fees and commission. Looking into 2024, can you maybe give us a flavor of what you see for the fees in banking services? Because I guess, asset management starts the year quite with a nice tailwind from higher market. And then maybe a final observation on the cost of risk, I appreciate you want between 2023 and 2026 for cost of risk to be significantly below through the cycle. But if that's the case, then over 12 years, you will have had a cost of risk at 10 basis points on average. So is it not time to actually just change through the cycle? Thank you.
Luc Popelier: Thank you, Guillaume, for your questions. I will take the first one because I also answered that to I think it was Benoit. So for good understanding and apology for that if I have not expressed myself clear. I thought I indeed said that the contribution of the resolution fund should stop and should drop out. But what I also said is that has a positive impact indeed and that positive impact is indeed quite significant block. What I think is that will be consumed. If not until then, for sure, in part by extra taxes which were imposed upon us by one or the other government. And therefore, the dropping to zero will not fully benefit I think in our P&L. I hope I'm wrong. I hope that indeed that there is no compensation of that three-fold of resolution taxes – resolution fund taxes. But in terms of our budgeting at least, we do take that into consideration. The other reason why I said that it will not necessarily decrease is because the bank tax, the traditional bank taxes are linked to volumes in amongst others, Belgium. And we do expect our volumes, amongst others, on the deposit side to grow in the future. And therefore, we do expect more bank taxes to be imposed upon us. As you remember, in the guidance of the quarter three there, you can find the detail. Belgium also has decided to put in extra bank taxes for the sector, and that will come into play in 2024. I thought also that in your question you were referring to geographical presence, but geographical split up, we can provide you that to a certain extent, not in all detail, but we will take that offline.
Guillaume Tiberghien: Okay.
Johan Thijs: On the banking services fees, what do we see at the moment? Well, of course, the biggest driver, more than 50% are asset management fees. And as you saw, the fourth quarter was still very strong with good net sales, of course, a very strong performance certainly in December. That means that the starting base at which we start the first quarter, of course, it's much higher than the previous quarter. So that's already a good start. We also see continued strong interest in investment in our mutual funds, and that is still going strong. A little bit of a tension point here compared to last year is that in the first – there is a bit of change in mix. There's more and more money market funds and more fixed income funds. But we think for the full 2024 that will redress itself and that will be more focused again more on structured funds and on the typical balance funds. But there could be some first quarter effects, so just as a warning. But we still see very strong growth in asset management because of strong starting base, strong interest in mutual fund business. And obviously, we hope that the markets themselves perform well because that's also an important driver of how equity markets and bond markets behave, which is by the way, the reason why we do not give specific guidance for this. Then on the other fees, we also see strong continued growth in payment fees. In credit fees, again, of course at the lower pace than previously because of the lower growth in loan production. The question mark will be securities fees that also have an impact. Well, it's continue to grow as strongly as last year. That is a question mark because it really depends on how many transactions our clients will be doing. And can we repeat the highly successful last year all over again, that is a question mark. All the rest, network income, that means the foreign exchange, margins we make on people who make foreign payments, who use their credit cards abroad and so on, that we also foresee to continue to grow strongly with GDP growth and even higher than GDP growth obviously. So these are the main aspects. But the reason why we do not give any specific guidance is primarily because of the market-driven nature of asset management fees.
Guillaume Tiberghien: Thank you.
Operator: Thank you. We will take the next question from line Anke Reingen from RBC. The line is open now. Please go ahead.
Anke Reingen: Yes. Sorry, I'm not sure if this was fully completed, but I actually just have my question on the total revenues given you were saying you're obviously not an NII bank. But concluding from the previous question, looking at your 2024 guidance, it really is a floor considering that other revenues would need to be flat year-over-year. If you just comment in line with that target, which on the back of the fee comments here, seems somewhat conservative? And then secondly, you made a comment when you were talking about your Sustainalytics rating that you see pressure from regulators on the ESG side. I just wondered if there's anything concrete specific you're thinking about that we should be thinking about as well? Thank you very much. 
Luc Popelier: Okay. So I'll take the first question. Indeed, if you just look at the floors and the ceilings we've put in there in our NII guidance and in our insurance fees and so on, then it's – you could come to the conclusion that orders would be flat. Now there are of course many components in the other elements and that's not only the asset management and all the banking service fees, but there are also other net other income and fair value income. And particularly, the fair value income, we can be a big influencer. And so we do not think that fair value income, for example, will increase. It probably will be lower than the previous years, and that is because of different interest rate environment. We also take a conservative assumption on the dealing room. And that means that it could compensate – potentially compensate. If the worst case comes out as we guide for here, that would compensate fully the other – the fee lines. But as I mentioned again, these are all conservative assumptions that we put in the market. So you should not then conclude that all the rest will be flat.
Johan Thijs: And then coming back to your question regarding the sustainability side, so ESG site and any regulatory pressures. I have to interpret the definition of regulatory pressure. So first of all, as we all know that the ECB I think also in execution of the European Commission policy is putting any way more pressure on the financial industry. And as a consequence, we have to obviously bring more reporting to them, which also means that we have to interact with our customers more intensively than, let me say, something 10 years ago. And this is something which is also happening to us for obvious reasons. As a matter of fact, KBC is executing its policy on sustainability as a consequence of different steps which were taken or started up 10 years ago. And until now, we never ever got from the ECB any kind of restriction or any kind of fine on any kind of letter which appears to be sent out to certain banks in Europe. KBC has not received that letter, for sure not. Given the fact that what we are doing on the sustainability side, we are one of the few banks which has a fully audited climate action report, which by the way, is available, as you know, on our website. And in that perspective, we have not received any kind of pressure from the ECB side on this matter. On the contrary, so we were asked to give also insight by the ECB on how we perform and how we structure our way around the ESG activities of KBC Group because it could be used as an example. Now in terms of being used as a reference, let me highlight, and that is indicated on Page 4 or 5 in the back. Also, the external world apparently appreciates what we are doing. If you look at the ratings that we get by rating agencies like Sustainalytics, CDP, like others, Standard & Poor's and so on and so forth, KBC is always amongst the top 3% part of the financial industry. So in that perspective, I think we're doing quite a good job. To give a short answer to your question, any strong pressure from the regulatory side, the answer [ph] is negative.
Anke Reingen: Thank you very much. 
Operator: Thank you. We will take the next question from line Jason Kalamboussis from ING. The line is open now. Please go ahead. 
Jason Kalamboussis: Yes. Hi, good morning. I just have one follow-up question on the dividend, if I may. When we look at the growth of your net results in 2019, it has been very strong. So it's, let's call it, an 8%. And if we want to take out the IFRS impact and look to 2022, then we have about 4%. If we look at the dividend, the ordinary dividend amount, the Group has been from 2023 to I think here I have to 2019 has been 0%. So I was looking to understand what's your thinking behind it. I mean, it's very encouraging which you said earlier on the dividend, but what have kept you from starting to put some growth into your ordinary dividend. Thank you. 
Johan Thijs: Thanks, Jason for your question. Now you went into quite a lot of numbers, quite a lot of detail and the line was not of the best quality. So we got a little bit lost in your question. But what I suggest is we take your question offline and then we can have all those numbers in the right understanding before we start to guess about the question and then probably provide you with the wrong answer. So we'll take it offline, okay?
Jason Kalamboussis: If I may put it in a simple way, I mean, your ordinary dividend amount, your DPS has gone up, your ordinary dividend amount has been stable over – if we look at it since 2019. How should we think about it? I mean, do you find that, at the end of the day, it's only the DPS that counts at your end and so you are happy to have a dividend, the ordinary dividend amount being stable over the years?
Johan Thijs: So our dividend policy in that perspective has not changed. So the policy is at least 50% payout and the at least – the qualification of the at least 50%, that's this perspective is done in every year in a different manner, but it's steadily growing as you indicated. There is a couple of hiccups between the period of 2019 and now, but that is not related to KBC. This is related to, amongst others, decisions taken by, amongst others, the ECB regarding dividend and dividend distribution during the COVID period. And therefore, you have a couple of swings in that dividend per share and that dividend payout. But in general, policy remains the same and that is also executed for 2023 more than 50% for 2015. And then obviously, everything we're just topping the 15% surplus capital threshold that is – and also the discretionary decision of the Board, which influences in 2019, 2021 and 2022, the payout ratio, and that for sure have an impact on the payout ratio in 2023. And that one is going to be concluded – that's going to be announced to all of you in the course of the first half of this year because that's the period in which the Board takes the decision.
Jason Kalamboussis: Okay. Thank you very much. 
Operator: Thank you. It appears no further questions at this time. I will hand it back over to your host for closing remarks.
Kurt De Baenst: All right. Thank you, Operator. This sums it up for this call. I would like to thank you for your interesting questions and for your attendance. Take care, and speak to you soon. Cheers. Bye-bye.
Operator: Thank you for joining today's call. You may now disconnect.